Operator: Good day, and welcome to the DHT Holdings Q4 2014 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Eirik Ubøe. Please go ahead.
Eirik Ubøe: Thank you. Before we get started with this call, I would like to make the following remarks. This conference call is also being broadcast on our website at dhtankers.com and a replay of this conference call will be available on the website. In addition, our Form 6-K, evidencing this news release, will be filed with the SEC. As a reminder, this conference call contains forward-looking statements that are governed by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, which include statements regarding DHT’s prospects, the outlook for tanker market in general, expectations regarding daily charter hire rates and vessel utilizations, forecasts of world economic activity, oil prices and oil trading patterns expectations regarding seasonal fluctuations in tanker demand, anticipated levels of new building and scrapping and projected drydock schedules involve risks and uncertainties that are more fully described in our filings made with the SEC. Actual results may differ materially from the expectations reflected in these forward-looking statements. And with that, I'd like to introduce my two colleagues Svein Moxnes Harfjeld and Trygve Munthe, our Co-CEO of DHT Holdings. And with that, I'll turn the call to Svein Moxnes Harfjeld.
Svein Moxnes Harfjeld: Thank you Eirik. Good day to everyone and thank you for joining the DHT earnings call. EBITDA for the quarter was $25.6 million. Our revenue represent average time charter equivalent earnings on our VLCCs or $32,500 per day for the quarter. At this point, we have booked about 50% of our spot VLCCs for the first quarter of 2015, a time charter equivalent earnings of $63,000 per day. Operationally, it was a good quarter with minimal off-hire and average OpEx on our VLCCs of $9,200 per day including the French flag component on three of our VLCCs. G&A was $7 million for the quarter including a non-recurring additional accrual of $3.4 million. We would expect a quarterly cash G&A run rate of about $3.5 million going forward. Net financial expenses were $9.8 million, these includes $1.9 million in non-recurring financial expenses related to the refinancing of the Samco fleets. We would expect quarterly financial expenses of $8.5 million going forward. Net income for the quarter was $28.5 million equal to $0.31 per share that includes a reversal of prior impairment charters of $31.9 million. We will pay a dividend of $0.05 per common share for the quarter payable on February 19, 2015 for shareholders as of February 10, 2015. The dividend represents an increase of 150% compared to the quarterly dividends paid over the past nine quarters. Our dividends will still be evaluated on a quarterly basis taking into consideration, the company's financial results and the business outlook. At this point in time we believe that the clear dividend level to be sustainable through to 2015 and with that I hand over to Trygve Munthe.
Trygve Munthe: Thank you Svein. Just like to add a few comments, during the quarter we completed the refinancing of three of Samco's four credit facilities as well as a 50% financing of the DHT Condor. We are currently pursuing debt financing for the last two VLCC newbuildings and are confident that we should be able to conclude this within the next three months at competitive terms. As you will recall, we have already raised all the equity for the newbuilding program. DHT now has 20 VLCCs including the six newbuilds under construction at Hyundai for delivery in 2015 and 2016. In addition to two Suezmaxes and two Aframaxes. Our shipyard site team is now on the ground at Hyundai in [Daejeon], South Korea to supervise the construction of the newbuildings. Deal cutting for the first VLCC took place on the 17th of January and our newbuilding program is on schedule. On the acquisition Samco in the third quarter we have a 50% ownership of Goodwood Ship Management providing technical management services for the majority of our fleet. Earlier this month, Mr. Stephen Eglin joined our team as Director of Chartering & Operations. Stephen joins us with some 25 years of industry experience, the last 13 was from Frontline where he was Commercial Director and with this hire we are now fully staffed and fully integrated. The total onshore organization now consist of 18 people of which 11 are located in Oslo and seven in Singapore. And with that we would like to open up for your questions.
Operator: Thank you. [Operator Instructions] We will now take our first question from Spiro Dounis of UBS. Please go ahead. Your line is open
Spiro Dounis: Hey good morning gentlemen. Thanks for taking my question. Just two part question around the dividend hike, you talked about being in growth mode before, should we consider they're healthy dividend, the winding down of that mode and two on strong charter rates and larger dividends maintain could we see locking in more time charters or is there a spot exposure still the preferred strategy I believe you’ve got four vessels coming off charter soon and I know you mentioned you'll evaluate each quarter but trying to get some guidance around that.
Svein Moxnes Harfjeld: I think we have said that we feel we are coming towards the end of the investment phase. We don’t think we’re totally out of it yet so we’re still evaluating opportunities but it is very clear that any additions to the fleet at this point needs to be good investments for the DHT shareholders. As far as time charter coverage we have long said that in the trough and into early recovery, our preference would really be to keep the ships in the spot market that’s the way to ensure any immediate participation in the market recovery but quite interestingly the time charter market has moved up quite measurably over the past couple of months. So yes we are coming to levels where we think it’s meaningful to perhaps seek a more period employment than what we have had up until to this point.
Spiro Dounis: Great and just a quick follow up how should we be thinking about your older vessels at this point in market given the improving tanker values, have you seen a lot of appetite in the second hand market to divest now or could some of these make good candidates for floating storage?
Eirik Ubøe: I think we’ve increased the asset prices there is of course also increasing prices for the older ships. As of now we are seeking to maximize the earnings on the ships in the markets. You’re right that so far a number of older ships have in particular secured the storage contracts in relation to the containable non-price. And we’re holding this market closely and there will be fairly optimistic should those rates be interactive by the company. So we are not strangest to this but as of now we have no ships in the storage markets.
Spiro Dounis: Great.
Eirik Ubøe: When it comes to divestments we feel still this is a bit early so as the cash duration potential our older ships is still substantial and hence we would like these earnings to come into the company.
Spiro Dounis: Very helpful. Thank you
Eirik Ubøe: Thank you.
Operator: Thank you. We will now take our next question from Mark Suarez of Euro Pacific Capital. Please go ahead. Your line is open.
Mark Suarez: Yeah, good morning guys and thanks for taking my call. Just to follow-up on that question in terms of steepening up the brand forward curve, we have actually seen some acceleration as we're getting to January. Are you still seeing that acceleration in terms of -- to demand for crude tankers for the purposes of oil storage and how do you see that trend playing out in the next month or so, any impact on pricing?
Eirik Ubøe: It's not really for us to apply on the oil price but we have seen increased interest on activity from traders in particular to charter VLCCs for storage purposes and we count currently about 40 ships that have been fixed from tome charters and we would expect the majority of these ships to enter into storage business. We further count some close to 10 ships on subjects for similar businesses and it remains to be seen whether those contracts gets fully fixed or not. But the interest from traders and users has not tamed off as of yet.
Mark Suarez: Got you. And so seeing -- seen that opportunity do you think now you have significant more leverage I think you talked about this in the prior quarter of entering into some of those TC contract with their profit share component in them as you're thinking about maybe placing some of those VLCCs in for period employment?
Svein Moxnes Harfjeld: Yes, we just said we think that the levels you now can do 12 to 24 month charters that is quite attractive so don’t be too surprised if we do in this quarter act on some of this but we are also quite optimistic on the spot earning potential in the short-term.
Mark Suarez: Got you. And then just turning into the cost and now we're seeing significant decrease in bunk of fuel over the past two to three months. How should we start thinking about daily operating expense inflation as we head into 2015?
Svein Moxnes Harfjeld: Importantly and operating expenses as we report do not contain the bunker build, so this is really just for including repair and maintenance and spare parts and so on. The bunker cost is deducted on a different line on voyage related expenses. We don’t see any significant inflationary pressures on our OpEx levels going forward.
Eirik Ubøe: If you look at our P&L year-over-year, the voyage expenses are significantly higher than in 13 in nominal level simply because the fleet has grown substantially and that we have more ships in the spot markets. So, it’s not related to any inflation in cost and in fact oil price are soft and so has been the bunker cost.
Mark Suarez: Got you. I was thinking more in terms of the lubricant component out of the daily vessel operating expenses, you don’t see a material impact there?
Eirik Ubøe: Lubricant cost, operating cost is very marginal and we do not split up or we don’t divide up the OpEx levels in general in the company we feel to be very competitive and as we addressed average OpEx of VLCCs for the quarter were $9,200 a day and that includes the three French flag and the vessels which run at higher costs.
Mark Suarez: Okay, got it. Great, that’s helpful. Well thanks for your time again.
Svein Moxnes Harfjeld: Thank you.
Operator: Thank you. We will now take our next question from Herman Hildan - RS Platou Markets. Please go ahead. Your line is open.
Herman Hildan: Good afternoon guys. I have two questions. The first one is whether I mean obviously we've seen some very strong rates recently. Is it possible to give some kind of guidance on what rates achieved so far in the first quarter of FY16?
Eirik Ubøe: I think as we highlighted in our comments on our P&L we have booked about 50% of our spot VLCCs so far for the first quarter of 2015 at time charter equivalent earnings of $63,000 per day.
Herman Hildan: Okay. And also it's been a lot of debate recently about the weakness in the drybulk market and the potential for conversion of [IEK] size orders into VLCC so what’s your thoughts with respect to how this could potentially impact supply side?
Svein Moxnes Harfjeld: I think there is several components to that and firstly a good chunk of the drybulk order book is already under construction so it’s too late to change anything on those and then you've got then the remaining that haven’t commenced yet the majority of these vessels are constructed at the -- has limited ability to build the large tankers. And finally, sort of the back end of the order book to dry cargo we think it's a bigger chance for those contracts being outright cancelled than converted into two types of ships that the odds are not too familiar in building. So all in all, yes there will be some conversion from dry to wet in the order book but we don’t think it’s going to be very significant.
Trygve Munthe: It's also fair to add that if drybulk orders are converted it’s more likely to be in the Aframax segment or potentially even smaller tankers.
Herman Hildan: Thank you for that. And then final question is based on the current bunker prices and the potential impact from higher speed of the VLCC fleet, some of the package in general what’s your take on that call it threat?
Svein Moxnes Harfjeld: I think the impact is limited. Keep in mind that delayed in fee package with cargo on board, the speed is a part of the contracted terms with the customer and except today at the 12.5 months. So that cannot really be changed. If then the balance passage where the shipowners have the liberty to elect to the speed but when you typically bought the part, your discharge part in the Far East on the way back to the [indiscernible] Gulf, you are not yet fixed on the cargo you don’t know exactly what dates you will fix your ship at. So the fixing timing is typically happening when you cross Singapore so, halfway through on your balance passage and that's when you will start to consider at what speed you should run at. And on some occasions that be still at 9-10 offs and there might be some owners that elect to speed up in order to capture particular cargo but when we set out from the discharge port we start slow stemming still in the range of 9 to 10 offs and we believe as several of the large operators are following the same type of discipline as it simply just makes good economic sense.
Herman Hildan: So kind of even though the bunker price have been kept so you don’t go full speed out of discharge Far East because you risk having waiting dates because it’s a short time before you right when you actually knew the fixture?
Trygve Munthe: Yeah, we will think you are absolutely right that before the high bunker prices, the typical way of doing it was to go full throttle on the way back to the Middle East and even if you didn’t have any cargoes lined up you just continued at full service speed and drop bunker and started waiting. I think the face with a higher bunker prices towards the industry that is really full time way to do it. So we continue to try to optimize that we are arriving right in the loading and way ahead and sitting idle that’s the economic way to do it.
Svein Moxnes Harfjeld: As such I think some suggest in South that although theoretical capacity is overstated it's a bit academic approach.
Herman Hildan: Okay, thank you very much.
Svein Moxnes Harfjeld: Thank you.
Operator: Thank you. We will now take our next question from Charles Rupinski of Global Hunter Securities. Please go ahead. Your line is open.
Charles Rupinski: Good afternoon gentlemen.
Svein Moxnes Harfjeld: Good morning.
Charles Rupinski: Sorry, good morning over here. My questions mostly have been answered. But I do wanted to just ask one on fixture longer-term clearly there is the storage has -- there is a premium certainly for like maybe the one year charter or maybe little less than one year versus say a three year charter. Can you give the idea of what you are thinking about in terms of how the curve looks and what kind of links you might be looking at or how fluid the market is to go longer than one year or versus less than one year, any kind of think on that.
Svein Moxnes Harfjeld: I think going rates today for one year is approximately $45,000 a day and a two year sharp approximately 42.5. You would argue that's a longer term charter would be at marginal discount to that the liquidity and the longer term charter is very thin as of now but we do see that our some incoming enquiries now from three years and potentially than in due course also for longer term charters. So this is the natural development that you see a stronger market and also now for the end users with the lower bunker prices it makes more economic sense for them also to look at period tonnage as mortgage expenses has been significantly reduced.
Charles Rupinski: Sure. Okay. That's helpful. Thank you.
Operator: Thank you. We will now take our next question from Samuel [indiscernible] as ALJ Capital. Please go ahead. Your line is open.
Unidentified Analyst: Hi guys, can you may be just tell me what's the remaining shipyard payments or the CapEx?
Eirik Ubøe: Sure as you recall our payment structure was 20% contract price upon signing on the contracts then 10% after six months than 10% of deal cutting and then 10% on key and a final 50% on delivering. As of year-end we have paid 30% on all six newbuilds and then the additional pre-delivery installments are mostly coming due in 2015. At year end the remaining pre-delivery installments amount to 114 million and then the rest is on delivery and as we have said before we have raised all the equity for the pre-delivery instalments and then the intention is to draw down the mortgage debts on delivery.
Unidentified Analyst: Got it. And then also maybe if you guys can just comment what's your views on maybe a technical consolidation just entering pools perhaps?
Svein Moxnes Harfjeld: The entering pools is more of a commercial conservation. So it's essentially a joint marketing office for number of ships and shipowners. In our case our fleet is viewed to be sufficiently large and we can operate this ourselves and with the benefits for us being close to the market, close to the customers and also we think overtime its more cost efficient for our shareholders.
Unidentified Analyst: And just one last one just a follow-up on previous question so when you're looking at over the long term charters potentials, I guess what's more important factor for you guys is the length or is it the length of the charter or perhaps just the rates even for a shorter like one or two year charter.
Svein Moxnes Harfjeld: I think what we are waiting for to happen is that there is some liquidity in the longer time charter market i.e. five year contracts or even more and that really is there is a very few and very far between those opportunities currently. So that if history is anything to go by we would expect that that some point in the cycle there will be a stronger demand for long term commitments and I think the numbers needs to be in the range where the two year market is today or better.
Unidentified Analyst: 40?
Svein Moxnes Harfjeld: Yes, low 40's which is in line with the 20 year average earnings of VLCCs.
Unidentified Analyst: That's great. Thank you.
Operator: Thank you. We will now take our next question from Nicolai Devik, CND. Please go ahead. Your line is open.
Unidentified Analyst: Thank you. You say that just look at the growth opportunities but at the same time you say that you considered to lock in revenues by fixing for period, isn't that a bit contradictory as of [indiscernible] fluctuate with the time charter market?
Svein Moxnes Harfjeld: I think it's important to realize that the running a ship owning companies is very much operational business and that you enter into various types of activities overtime and I think on the growth side what we mean is that investment opportunities today are much harder to combine than where it say 12 months ago where prices were lower so the appreciation of asset prices makes it less attractive so to speak. But it’s also then a question on staggering the development of the company and as Eirik alluded to we are rather bullish on the near term spot markets but at some point we would also like to build some more fixed income so this is a gradual exercise there is not when you sit on the screen and decide that and push the button and I'll get all my ships on time charter so it has to be with the right lines, the right terms and the right money.
Unidentified Analyst: Thank you. And I know you mentioned speed on latent is more or less fixed but to what extent does the oil made sort of charter slowdown the speed on the latent legs to benefit from the time go in the oil market is that wide spreads or just a few exercising it? A light alternative to floating storage?
Svein Moxnes Harfjeld: We have not really seen this apart of the charter parts today is latent speed of 12.5 notes as a typical speed. Most of the clients are also holding your ships performance at speed with satellite and they know what speed you’re operating at and the purpose of this is that the cargo in passage is part of the inventory for the refinery in order to plan regular delivery of feedstock so it’s not really just the case of speeding up to maybe have sometime value money or finance cost and at least to our understanding so we are not really seeing this that there is enquiries from the clients speed from the latent leg.
Unidentified Analyst: No I was actually talking about the opposite where oil majors also have been ships, the benefits from the contango in the market they could slow down on the latent leg as an alternative to the short-term floating storage, the benefit from the contango in the market.
Svein Moxnes Harfjeld: You wouldn't think that that would be tempting to some of them but I think you need to keep in mind that the majority of the shipments on VLCC is really integrated pieces of the logistics chain and the whole downstream operation of the oil companies. So it’s about feeding refineries on time and not so much about trading around the cargo.
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. [Operator Instructions] We will now take our next question from Andreas [indiscernible] of KPU. Please go ahead. Your line is open.
Unidentified Analyst: Hi there. I think most of my questions were covered but maybe just a quick comment on how do you see the spot market in the next three months we've seen it staying relatively high levels between 70s and 80s and not sure if you agree but it hasn’t been particularly volatile all the way through January but do you believe the market can stay at those levels in the next two to three months or do you expect it to come down seasonally or for any other reason?
Svein Moxnes Harfjeld: We think the whole storage play has been a factor in the spot market over the past several weeks not that it has physically happened yet but it has given the owners an alternative if they don’t get the spot rates that you are asking for there has been an alternative to try to market to ship on medium time charters on storage. But up until this point it is being mostly the sentimental driver and in the near future we would expect that the fact that these ships now need to start loading cargoes and then drop anchor and then thereby lead the actively trading fleet that is going to give some support in the spot market in the next quarter as well.
Unidentified Analyst: Thank you.
Operator: Thank you. We will now take our next question from Erik Stavsethof Arctic Securities. Please go ahead. Your line is open.
Erik Nikolai Stavseth: Hi guys. Just one quick question from me really relating to asset values I mean we did see pretty decent depreciation asset values all of past 12 months and then of course been now health I guess with charter rates following the asset values but where do you see asset values moving going forward? And both on second hand and also on the newbuild side?
Svein Moxnes Harfjeld: I think traditionally asset values move up in the response to higher earnings. I think today at least we see a rather limited activity on the buying side of tanker so overall broker reports and broker valuations are inching values upwards of course and the some potential sellers are asking higher prices we see very little interest well in traction. So it’s going to be interesting to see how this will truly pace out.
Erik Nikolai Stavseth: Alright do you have any sort of comment on how the spread is? I mean we heard a VLCC a little bit over ageing vessel there was a spread of say 15% to 20% between the seller and buyer is that still not be too wide in terms of what you’re seeing or is that the accurate reflection in the market?
Svein Moxnes Harfjeld: I think we pick up rumors that say typical 50 VLCC is maybe asking in the mid-30s and the buyers might be there in the low 30s so spread could be 5%, 10%, 15% on each separate occasions hard to say part of that negotiation. But there has been some increase buying interest in the older range in particular as the floating storage has come into the market to make good economic sense if you are say private shipowner in particular and investing in older asset will limit that on six year storage.
Erik Nikolai Stavseth: Thanks so much guys.
Operator: Thank you. [Operator Instructions] We don’t currently have questions in the queue. I’ll pass it back to the speakers.
Svein Moxnes Harfjeld: Thank you very much to everyone for attending this call and staying interest in DHT. Have a good day.